Operator: Good afternoon. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Carlisle Companies Third Quarter 2020 Earnings Conference Call. [Operator Instructions] I would like to turn the call over to Mr. Jim Giannakouros, Carlisle’s Vice President of Investor Relations and Financial Planning and Analysis. Jim, please go ahead.
Jim Giannakouros: Thank you, Rob. Good afternoon, everyone, and welcome to Carlisle’s third quarter 2020 earnings conference call. We released our third quarter financial results after the market closed today. And you can find both our press release and earnings call slide presentation on our website at www.carlisle.com in the Investor Relations section. On the call with me today are Chris Koch, Chairman, President and Chief Executive Officer; and Bob Roche, our Chief Financial Officer. Today’s call will begin with Chris discussing business trends experienced during the third quarter and context around our continued confidence in achieving Vision 2025. Bob will discuss Carlisle’s third quarter performance and current financial position. Following Chris and Bob’s remarks, we will open up the line for questions. Before we begin, please refer to Slide 2 of our presentation, where we note that certain statements made under this call may be forward-looking and actual results may differ materially from our expectations due to a number of factors, including impacts from COVID-19. A discussion of some of the risks and uncertainties that may affect our results are provided in our press release and in our SEC filings on forms 10-K and 10-Q. Those considering investing in Carlisle should read these statements carefully and review reports we file with the SEC before making an investment decision. With that, I will turn over the call to Chris.
Chris Koch: Thanks, Jim. Good afternoon, everyone. As we enter the 10th month of operating in this COVID-19 pandemic, I hope everyone out there is healthy and staying safe. I’d like to first say, how proud I am with the Carlisle team and how grateful I am for their continued passion, dedication and commitment to serving our customers, to protect each other that is supporting our communities through these uncertain times. We all know that this virus continues to be a threat to our health and economy and want to assure everyone that safety has and always will be the number one priority at Carlisle. And protecting ourselves and each other against this virus is at the forefront of our thoughts, even more so as the winter and flu seasons approach. If we all do our part, we can help manage this pandemic and get us all back to a healthy and productive state, both in our professional and personal lives. And while being safe and healthy is always our first priority, we also have the commitment to keep all our stakeholders in mind and to deliver on our key objectives, including Vision 2025 and our ESG initiatives. By doing this, we ensure that we will continue to be a positive contributor and long serving member of our communities. Now let’s turn to Sides 3 and 4. While the COVID-19 pandemic has affected our 2020 results, our proactive approach has allowed us to continue to operate at a high level of efficiency and capacity. Our operating income generation and cash position at the end of the third quarter, speak to the hard work, discipline and perseverance of the entire Carlisle team. The same attributes will allow us to further improve the efficiency of our businesses through the Carlisle Operating System to continue to make the investments necessary to deliver a world class Carlisle Experience well into the future and ensure we maintain discipline and rigor in our capital allocation process. When taken with our other initiatives, these actions will provide the horsepower to drive our success in achieving our Vision 2025 goal of $15 of earnings per share. Reinforcing and demonstrating our ability to deliver on this commitment, we have generated $1.9 billion of free cash flow and a 25% CAGR over the last five years ending in 2019 were basically the pre-pandemic period. This track record of success supports our confidence in this team’s ability and capability to execute on the components of Vision 2025, including our capital allocation strategy and to create value through our business model. Our confidence is built on first, the significant and proven annuity contained in the U.S. non-residential reroofing market segment, which is estimated between $5 billion to $6 billion per year today, and growing to approximately $8 billion in the next decade; two, we’re reframing our pricing approach, which since mid-2017 has delivered a new paradigm tied to our enhanced value proposition in the marketplace; three, the financial flexibility to access up to $3 billion for acquisitions; four, operational efficiencies from our culture of continuous improvement; and lastly, the revenue growth opportunities in several key areas, including European construction markets, our medical technologies platform within CIT, highly-engineered fluid technology solutions and aerospace markets returning to pre-COVID levels of demand. Most of all, it’s our belief and our employee’s ability to deliver for Carlisle customers as they have for over 100 years to the improving Carlisle experience that allows us to accelerate through the recovery. Transitioning to our third quarter results. We believe the third quarter reflects the remarkable strength and resilience of the CCM business model and Carlisle’s balance sheet. Carlisle’s cash generating ability ensures that we can continue to invest organically and via acquisitions, particularly in our high growth platforms and building envelope solutions, medical technologies and fluid technologies. Coupled with returning capital to shareholders via dividend increases, which we increased 5% in September the 44th consecutive year of increases and share repurchases, we continue to demonstrate a strong underlying foundation. In the face of the pandemic, our team has taken many proactive steps across our businesses to position Carlisle for an improved 2021 and beyond. We have taken tough but necessary restructuring actions at CIT, including the announced closures of our Mobile, Alabama and Kent, Washington facilities. We also took the difficult actions of reducing head count by approximately 550 employees in our Nogales, Mexico factory and by over 100 employees in our Dunhuang, China aerospace factory. In our other businesses, we continue to optimize our footprint and drive efficiencies to manage costs through the pandemic. At CCM, we reduced shifts starting early in the second quarter. At CBF, we consolidated our Solon, Ohio headquarters into our Medina, Ohio manufacturing facility, and made a lot of other cost reductions at CBF around the globe. Despite challenging dynamics across several markets, I want to be direct in saying, we are facing them head on and absolutely remain committed to and focused on achieving $15 in earnings per share by the end of 2025. Our conviction and our ability to deliver on Vision 2025 is supported by several factors. I’ll start with CCM, which continues to exhibit resilience, and we believe it’s set up extremely well to continue on its path, both attractive, sustainable top line growth and margin improvement. We continue to see sequential improvement in daily sales volumes throughout the third quarter at CCM with September sales ending slightly positive year-over-year for the first time, since the pandemic began. We still foresee a robust and growing reroofing market with positive trends continuing well through 2025, driven by the need for maintaining and aging and continuous cycle of replacement of U.S. roofing infrastructure. This distinction is important as most of CCM sales are largely driven by replacement demand, not new construction. And importantly at times of financial stress are not canceled, but deferred as maintaining a commercial roof is not a discretionary item. Year to date, we have benefited from CCM’s variable cost structure and notably lower input cost versus last year. Due to our size and scale, we believe we have the lowest cost structure in the industry that we create significant value through the Carlisle Experience. And we continue to demonstrate price leadership, connecting pricing to our value proposition. In summary, our commitment is to deliver the right product at the right place at the right time, every time. We’re very pleased with the progress we continue to make on our newer platforms of polyurethane and architectural metals, as well as our specialty roofing materials produced and sold in Europe. Within polyurethane spray foam continues to regain market share notably by a refocus on core customer relationships and launching new differentiated products, all under a new consolidated brand structure. These improvements helped to drive year-over-year revenue growth in the third quarter and year-to-date. Architectural metal was a bright spot in the quarter, delivering relatively flat sales in a challenging environment. Architectural metal margins continue to improve with solid progress on integration initiatives. And in Europe, the small to medium-sized roofing market remain steady, supporting overall year-over-year growth in the quarter and year to date. Profitability in Europe continues to improve as well. And we continue to believe that Europe provides an opportunity for meaningful expansion for CCM, and we are committed to taking the necessary steps to ensure that growth potential is realized, despite the headwinds of COVID. We anticipate fourth quarter sales at CCM will grow low single digits barring any weather or COVID related disruptions. Turning to our Interconnect business, as it has been well publicized and as you are all aware, global air travel and aerospace financial health have both been severely impacted by the COVID-19 pandemic. The impact on aircraft manufacturers, such as Boeing and Airbus at the momentous, with build rates continuing to decline substantially this quarter. Since the beginning of March, the CIT team has been focused on dealing with the rapid declines and fallout that all suppliers in the area of aerospace industry have felt. Our focus has been on taking actions that will position CIT aerospace to support the strong recovery we anticipate will occur as global air travel returns in the coming years. Despite aggressive action and minimize losses in the near term to right-size our footprint, we continue to invest in new products and capabilities that will enable us to maintain our industry-leading position and exceed our customer expectations, when growth in aircraft production rates resumed. We are maintaining a close eye on our aerospace competitors and remain positioned to be opportunistic, should a strategic and appropriate asset become available. While we all know that the aerospace markets have been significantly impacted by the pandemic, we do remain confident that over time passengers will become comfortable with the safety measures airlines are implementing, and supportive of this TSA passenger screenings have increased dramatically since March, and we believe, it will continue to rise in the fourth quarter. Additionally, recent data show that the risk of transmission of COVID-19 on an aircraft is quite low. We’re also encouraged by the global efforts and progress towards the development of a COVID-19 vaccine, which once deployed should drive passenger confidence and safe travel and accelerate to return to higher levels of passenger miles. And additionally, on a bright note, Boeing’s 737 MAX 8 has been approved for a return to flight by European regulatory bodies and is moving closer to FAA approval. Transitioning to our medical platform within CIT, we entered medical technologies several years ago through the acquisition of LHI, with the concept of leveraging our core wire and cable expertise into the MedTech markets. The acquisitions of MicroConnex, RedGroup and Providien over the last few years contributed significantly to our platform and MedTech remains a key area of focus for both organic investment and bolt-on acquisitions. CIT medical technologies has proven stable in this uncertain environment benefiting from increased demand for COVID-19 related patient monitoring equipment, partially offset by deferred hospital capital investment. Recently acquired Providien, which expanded our component and vertically integrated device solutions capabilities continue to perform well, and integration is on track. In addition, product rationalization actions taken in legacy medical product lines in 2018 and 2019 have improved CIT medical technologies margin profile. Our long-term bullishness on MedTech remains intact and we see CIT revenues trending toward a better balanced and more profitable mix over time. Near term, while CIT medical technologies remains a positive offset to CIT aerospace weakness, we remain watchful of key MedTech demand drivers, such as capital spending in hospitals, elective surgery, and procedure deferrals, particularly in the United States. Taken together, we expect CIT’s revenue in the fourth quarter of 2020 to decline approximately 35% versus the fourth quarter of 2019, reflecting significant inventories of aircraft in the channel, limited new orders and reduced production rates. At CFT, operating income grew 5% due to solid pricing gains, operational improvements and cost discipline, despite revenues declining 5%. All the pressures from subdued industrial capital expenditures remain. CFT continues to execute on internal initiatives laid out in Vision 2025. Our new technology initiatives can be highlighted by the launch of our market differentiated premium solution for spray foam applications, which gained traction throughout the third quarter. We’re proud to be delivering a spray foam insulation industry first, the combination of application equipment with polyurethane foam material. This combination will allow us to provide the spray foam contractor, builder and homeowner with greater application efficiency, tighter ratio tolerances, and ultimately a better foam insulation product in the wall. We’re also encouraged by our latest strategic acquisitions in sealants and adhesives within CFT, including Ecco, Shinhang, and IDS. This combination of market leaders in specific niche products, coupled with CFT’s legacy products, bring CFT closer to offering a comprehensive sealants and adhesives product portfolio for our global customer base. We’re also extremely proud of the progress CFT made in third quarter, continuing to upgrade the customer experience from our order entry capabilities to our quality and deliver the improvements in all our global locations. We are beginning to see positive signs at CFT end markets, particularly in Asia and Europe, and we’re optimistic. We are past the worst of the COVID-19 impact to our industrial customers. We remain committed to our original long-term margin goal of 20% plus percent for CFT and are confident the multifaceted plans we’ve put in place, including developing and introducing innovative new products, capturing the value of these products and enhanced pricing, applying COS rigorously and maintaining hyper-focus on plant safety, quality, delivery and cost management will result in significant improvements in 2021. We currently expect fourth quarter revenue to decline mid-teens year-over-year, reflecting sequential improvement over the third quarter of 2020, but up against a relatively strong fourth quarter 2019. Turning to CBF. CBF sales were down 9% in the quarter, reflecting the additional impact of the pandemic on top of the multi-year downturn. CBF was already experiencing in the global off-highway vehicle markets and especially expectable COVID related contributing factor to CBS results was similar to CIT, it’s exposure to the aerospace industry where it supplies high margin metallic and carbon aircraft braking products. Significant progress and business improvement actions taken in the past few years in this business, including the Tulsa and Medina plant consolidation, and many new product introductions have not been enough to offset volume declines, especially in the high margin aerospace business. CBF has made substantial progress in lowering its cost base, refining its production processes and reducing its footprint. All actions that will help us reach our targeted margins as demand improves. We believe global demand for CBF products will continue to be pressured in the fourth quarter of 2020. And as such, we expect fourth quarter sales 2020 to be down low single digits. Reflecting on capital deployment, accretive and synergistic acquisitions remain a key pillar of Vision 2025. Despite the temporary impacts of COVID-19, we continue to aggressively track opportunities to deploy capital into our strategic segments of CCM, CIT and CFT with returns in excess of cost of capital as our guide. Our financial strength and cash flow generating capabilities afford us flexibility, and we intend to remain opportunistic. Notably, and as we’ve discussed in the past, when acquisition activity is subdued, we remain committed to returning capital to shareholders. This is evidenced by our deployment of more than $340 million in share repurchases year-to-date in 2020. And finally, we continue to be relentless in the expansion of our decade plus Carlisle-wide operating system based on the principles of Lean and Six Sigma or COS. COS or the Carlisle Operating System will continue to be a unifying cultural imperative providing an essential tool kit for our businesses to rely on as they seek new opportunities to make our operations and businesses more efficient. In the third quarter, COS once again delivered savings and efficiency gains, this time approximately 1% of sales. This result was a remarkable feat given our very challenging volume environment. And COS has proven to be more than a cost savings program, providing the tools, the training and the clear goals and objectives for our teams to remain focused on quality, safety and delivery in their operations. Bob now will provide operational and financial detail about the third quarter and review the balance sheet and cash flow. Bob?
Bob Roche: Thanks, Chris. Please turn to the revenue bridge on Slide 5 of the presentation. Revenue decreased 12% to $1.1 billion in the third quarter. Organic revenue declined 14.3% and acquisitions contributed 1.9% of sales growth of the quarter and in fact it was about a 40 basis point tailwind. Turning to the margin bridge on Slide 6, Q3 operating margin declined 110 basis points. Pricing and volume headwinds combined for minus 360 basis points and acquisitions were minus 60 basis points, offsetting these freight, labor and raw material and other operating costs netted to a 230 basis point improvement, and COS added 100 basis points, net restructuring and rationalization costs were an additional 20 basis point headwind. On Slide 7, as we do every quarter we provided an EPS bridge. As Chris mentioned earlier, we reported third quarter diluted EPS from continuing operations of $1.87, which compares to $2.42 from last year. Volume, price and mix combined were $1.04 year-over-year decrease while tax and interest combined for $0.13 headwind. Restructuring was another $0.04 headwind. Partially offsetting these raw material, freight and labor costs netted to a $0.29 benefit. Share repurchases contributed $0.09 and COS contributed an additional $0.18, lower operating expenditures contributed $0.10. While COVID related volume declines clearly represented the most significant headwind during the quarter, our teams around the world did a commendable job managing costs to help mitigate its impact on bottom line earnings. Now let’s turn to Slide 8 to review the third quarter performance by segment in a little more detail. At CCM, revenues decreased 7.8% driven by volume and net of 30 basis points foreign exchange – foreign currency translation tailwind. Operating margin at CCM was 22% in the quarter, a 260 basis point improvement over last year, driven by favorable raw materials, lower SG&A and COS, partially offsetting this were volume declines and wage inflation. CCM executed well in delivering approximately $25 million of net price cost realization in the quarter. And we now anticipate full year net price cost realization of approximately $70 million for 2020. Turn now to Slide 9 to review CIT’s results, CIT revenue declined 30.3% in the quarter. As Chris talked about earlier, this decline was driven by the crisis in commercial aerospace markets partially offset by positive trends in our Medical Technologies platform. CIT’s operating margin declined significantly year-over-year to negative 2.2% driven by commercial aerospace volume declines and accelerated restructuring actions. These were offset partially by savings from COS, lower SG&A and some price increases. Turning to Slide 10, CFT sales declined 5.1% year-over-year. Organic revenue declined 10.8% and acquisitions added 4.4% in the quarter. Despite the sales decline and related deleverage, operating income at CFT increased 5% year-over-year with operating margin improving 70 basis points to 6.8%. This was driven by price realization, efficiencies from COS and lower SG&A. Turning now to Slide 11 for CBS, CBS third quarter organic revenue declined 10.8%, FX had a positive 1.7% impact, operating income was $0.9 million or 1.3% operating margin, driven primarily by volume declines and unfavorable mix in aerospace markets, partially offsetting this was COS efficiencies. On Slide 12 and 13, we show selected balance sheet metrics. Our balance sheet remains strong and we ended the quarter with $719 million of cash on hand and $1 billion of available – availability under our revolving credit line. We deployed approximately $150 million in the second quarter, repurchasing 1.2 million shares. And additionally, we increased our dividend in the third quarter, the 44th consecutive year of increases and paid out $28.5 million in September. We continue to approach capital deployment in a balanced and disciplined manner, investing in organic growth through capital expenditures and opportunistically repurchasing shares while also actively seeking strategic and synergistic acquisitions. Free cash flow for the first nine months of 2020 was a solid $367.5 million and we expect Carlisle overall to generate free cash flow conversion in excess of 150% for the full year. Turning to Slide 14, Chris earlier gave fourth quarter revenue guidance referenced here and you can see the items affecting comparability in corporate items. Corporate expense is expected to be approximately $95 million for the full year. We continue to expect depreciation and amortization to be approximately $230 million, and for the full year, we continue to invest in our business and now expect CapEx to be in the range of $100 million to $110 million. Net interest expense is expected to be approximately $75 million for the year and we expect the tax rate to be approximately 23%. And with that, I will now turn the call back over to Chris.
Chris Koch: All right. Thanks, Bob. In closing, I want to once again express my thanks to our dedicated employees, their families and our business partners and all those associated with Carlisle’s success. Simply put, we can’t do without you. With over a century of history, Carlisle has proven to be a resourceful, resilient and stable organization in times of diversity and uncertainty, and remain confident in Carlisle’s outlook supported by our strong financial foundation, cash generating capabilities and unwavering commitment to our Vision 2025 strategic plan. This concludes our formal comments, Rob, we’re now ready for questions.
Operator: [Operator Instructions] And your first question comes from the line of Adam Baumgarten from Credit Suisse. Your line is open.
Adam Baumgarten: Hey, good afternoon, everyone.
Chris Koch: Good afternoon.
Adam Baumgarten: Just a question on freight, costs have despite pretty meaningfully at least in the spot market and it seems like contract rates are expected to be up in 2021. Can you walk through your exposure to spot versus kind of more contracted rates?
Chris Koch: Yes. Most are freight, most are freight in CCM and a lot of that is contracted. It’s flatbed from our factories out to the job sites. So, we don’t really play that much in the contracted market and it takes time for our contracted folks to get up as quick as the others do. So, we’re not seeing a ton of inflation quite yet, but we expect it to come a little bit next year. And then we’ll...
Adam Baumgarten: Okay.
Chris Koch: Of course we pass that on in price when we see it go up too much.
Adam Baumgarten: Got it. Okay. Helpful. And then just in CCM you talked about slightly positive growth on a year-over-year basis in September. Can you give a sense for how that’s kind of trended into October and maybe that forming your 4Q guidance?
Chris Koch: Yes. I think, you’re right on there. I think, we saw things build in the third quarter, September obviously was good considering everything that’s been going on and then we see that carrying into October.
Adam Baumgarten: Great. Thanks guys.
Chris Koch: Yes.
Operator: And your next question comes from the line of Saree Boroditsky from Jefferies. Your line is open.
Saree Boroditsky: Thanks for taking my question. So, CCM has not really seen any benefit yet from pent-up demand. So, could you just talk through how we should think about the re-roofing activity that didn’t get done this year? How long can this activity be delayed for?
Chris Koch: Yes, it’s a good question, Saree. I think, it’s one of the great tensions it’s been out there that’s helped us for the last really 10 years drive some big almost close to 10% CAGR in our sales, obviously that includes the acquisition, but the – we’re really running up against the big stress on the contractor base that we were before which is there are just so many contractors out there that are trained and qualified, I know prior to COVID that was – in 2019 that was still a big push it was around having these jobs and many delays with weather and anything else that was occurring, how do you get them done and kind of create extra demand and really the constraint is around that contractor base. And now I would say we’re adding into it the whole idea of getting business permits or getting construction permits and things like that through the government agencies that may be adding time by working from home. So, it does continue to build, obviously, you’re going to continue to try to do, what you can to get by. But I think that there is some pressure on getting these things done obviously before the winter season comes in the north and then – and the spring season with rain in the South and in the East. So, I think, they will be trying everything they can do to get it done and work as much over time as possible. But that demand just will build until we see a break there on construction workers are getting more trained, which I think had some delay here with COVID. So, hopefully, they’ll get through it quickly and we’ll see people want to return to work.
Saree Boroditsky: Thanks. And then can you just talk about the outlook for aerospace and how we should think about your growth as the MAX production volumes pick up but maybe there is some headwinds from widebody production.
Chris Koch: Yes. Bob, could talk about the production levels. I’ll just talk about our forecast. We’re still very, I’d say, we’re cautiously optimistic. I saw the CEO of Delta on today talking about the need to be a connected world and the people’s natural tendencies are to wanting to return to business travel to be connected to do things in person to visit family and friends, and I mean we buy and all of that and we believe it, we have seen, as I said in the call or the script there, TSA checkpoint traffic increasing. And I’d say, we’re optimistic that some of the news we’ve seen recently is going to reinforce the fact that airline travel is very safe. I think, I saw something today that the air is changed in the plane every six minutes through HEPA filters and other type of filtration devices. So, I think, it’s just a question of passengers getting comfortable and once we get over that tipping point it should pick up pretty rapidly. And I think also there have been some interesting deals that have been done with different airlines maybe in Europe where regulations are on being a much cleaner airline have occurred or having energy efficiency and we think the new planes that are out there will likely displace some of the old planes that have them be retired. So, again, we’re optimistic about what’s going to start to occur in 2021 and beyond. And then, Bob, you want to talk about production rates on?
Bob Roche: Yes, I mean, from everything we’re seeing and hearing from the two big OEMs, 4Q of 2020 is going to be the lowest build rate period that we’ve seen in a long time. And then that all projected growing from there, including wide bodies. The question comes how quickly does the MAX airplanes that are grounded get put into production and then they need to refill those. We continue to produce them and that’s – we got a keen eye on that and seeing when that starts coming through and the build rates for the MAX start up again.
Saree Boroditsky: Perfect. Thanks for taking my questions.
Bob Roche: Yes. You bet, Saree. Thanks.
Chris Koch: Thank you.
Operator: Your next question comes from the line of Tim Wojs from Baird and the line is open.
Tim Wojs: Hey, gentlemen. Good afternoon.
Chris Koch: Hi, good afternoon.
Tim Wojs: Maybe just on price, how should we think about the potential and I guess your confidence around realizing price next year and volumes here if kind of turned up a little bit, we don’t really have capacity coming on and we are starting to see some cost inflation kind of run through the system. So, I mean, do you think that’s enough for the industry to meaningfully realize price as you look into 2021?
Chris Koch: Well, I think, just looking at the fourth quarter, Tim, I think everything you said is absolutely correct. And we’ve seen with the actions of our competitors and ourselves that the prices are going up and I think that’s actually the organizations getting a little bit ahead of where they would have been usually on price. So that makes me believe we might be flat on price in the fourth quarter. And then I think if demand continues to pick up and we see some – the increases in costs and rise like we anticipate then I would anticipate there could be at least it sets the stage for what could be a positive price environment in 2021.
Tim Wojs: Okay. Okay. So, it’s really relying on kind of where volumes trend as we go through the years is...
Chris Koch: Yes, I think so, and I think it depends on – yes, absolutely, volumes. And as I said, Saree, the whole idea of contractor availability and obviously for us and it’s a little bit different maybe for others, but for us, the value proposition, the Carlisle experience is a premium service people pay for and when demand is high and volumes are high and they need to get at the right place right product right time, obviously it gives us more pricing ability than it does when volumes are down.
Tim Wojs: Okay. Okay. And then the non-resi roofing market, the $5 billion to $6 billion kind of growing to $8 billion over the intermediate term, I mean, how would you think about the composition there between kind of a reroofing kind of cycle and new construction. I’m just trying to kind of think about how much of that kind of $2 billion to – call it $2 billion to $3 billion of improvement is really just replacing stuff that’s already in the ground.
Chris Koch: Well, I think it’s all based on that – if you look at the square footage charts that Bob has put out there, we continue to see square footage rising. I think it’s out there, if anybody who needs it, we can get it to him. So you coupled that, I think you leave the structure the same way with the percentage of new construction related to the reroofing parts. So reroofing is really growing. New construction, we do think will pick up a little bit from where it is. And then there’s a little bit of price in there as well that we think it will be a modest inflation as we go forward over that period. Maybe somewhere – price out of that might be somewhere in the 1%, 1.5% something like that.
Bob Roche: Yes. Tim, that was largely around all reroofing that we’re commenting on is that’s the annuity that Chris always talked about around the reroofing cycle that’s coming forward. And that chart that’s in our Vision 2025 that shows the next 10 years and I’ll call it the bubble from the Elliott 2000 build cycle that’s going to come through at 2.5% to 3% growth over the next 10 years.
Tim Wojs: Okay. Okay. Well, appreciate the help guys. Good luck on the rest of the year.
Operator: Your next question comes from the line of Bryan Blair from Oppenheimer. Your line is open.
Bryan Blair: Thanks. Good afternoon, guys.
Chris Koch: Hey, good afternoon, Bryan.
Bryan Blair: Nice performance from CCM in the third quarter and great to see that business back to at least modest growth in the fourth quarter. I understand – absolutely, a lot remains fluid in terms of the pandemic and its impact. But assuming we don’t have a crippling second wave following up on some of the other questions here. Is it fair to assume that CCM volume kind of snaps back next year? That seems to the set up today.
Chris Koch: Yes, I think that’s somewhat fair to say. I mean, as Saree pointed out, there’s building demand due to the – at least in the second quarter, the inability to get on the roofs and some confusion there over what the health practices were and then government offices shutdown and remote working. So I would say that we set up nicely to pick up some of that, if we can. And again, I always say it, but really for us, the constraint is not supplying the materials, it’s the ability for people to get on the roof and put it on. And that’s why weather and these governmental delays around building permits and things like that are so impactful for the people out there in the field. They’re really the ones that set the pace of the work.
Bryan Blair: Understood. And then secondly a simple math, Bob you’re expecting about $10 million in price cost benefits in the fourth quarter. Is that correct?
Bob Roche: Yes. Yes, and remember, volumes are a little lower and we are seeing some cost pressure that’s well publicized in the oil and MDI markets.
Bryan Blair: Got it. And given current visibility, you walked through some of the moving parts here, the offsets. It sounds like a reasonable expectation for early 2021 would be kind of neutral press cost. Is that fair or am I – you’re not appropriately.
Chris Koch: I think early 2021, we probably won’t want to project out further than that. But I think, yes, as far as, we’re looking here at first Q of 2021 from what we can see, I think that’s fair.
Bob Roche: Everybody announced the pricing thesis and the cost that we have is close as we can see.
Bryan Blair: Okay. That’s fair. And then thinking about CIT conservatively, if we were to assume that third quarter run rate volumes were aerospace launch where the – go forward for the foreseeable future, given the restructuring that’s ongoing, when you get to the back end of that, what kind of margins could CIT aerospace generate?
Chris Koch: Let me defer that and we’ll get that answer for you. I don’t know that we want to take a quick swig at that. That’s an impactful meaning.
Bob Roche: Yes. And Bryan, we’ve been looking at it in total business rather than the pieces. And clearly, when aerospace even comes back a little, this thing’s going to accelerate because of the costs we took out and the leverage you get off of the sales, but I don’t have it broken out in front of me.
Bryan Blair: Okay. Got it. Then last one, can you walk through CFT’s monthly order or sales? The third quarter result was certainly better than what I was modeling and then the rate that I had early in the quarter. So I’m guessing there was some acceleration but then there seems to not be as much of a seasonal lift as has been there in the past going into the fourth quarter.
Chris Koch: Yes. I think you read it the right way. I’m not going to break down – yes, I’m not going to break down each month in the third quarter, but I think you’ve got the thing, right. That as you got out of the summer and just like at CCM, as you went into September, you saw things starting to come together from a sales perspective. And I don’t think that’s unrealistic for anybody considering we were emerging out of this terrible second quarter with a lot of uncertainty and things like that. I think people started to jump back into CapEx purchases and things like that. And then going into the fourth quarter, yes, I mean, last year we had a really robust fourth quarter project driven. And so those projects, as you can imagine with COVID in that they do take some time to put together and to get organized and they just haven’t materialized in the fourth quarter. And that’s really where the impact is as we go into the fourth quarter.
Bryan Blair: Okay. Appreciate all the color.
Chris Koch: You bet. Thanks, Bryan.
Operator: Your next question comes from the line of Garik Shmois from Loop Capital. Your line is open.
Garik Shmois: Hi. Thanks. Just to follow up on the $10 million in price cost benefits in the fourth quarter. Is it fair to assume that it contemplates some of the disruptions that some of the MDI suppliers have announced?
Bob Roche: Yes. We are assuming some price or some costs headwinds falling into there from like I said, the well-publicized increases that have taken.
Garik Shmois: Okay. Got it. And then just on the SG&A savings that you called out is helping on CCM. Is it possible to quantify how much that’s been and how much is permanent versus how much could come back when demand improves more materially?
Bob Roche: Yes. Yes and I think we talked about this little bit on prior calls. In CCM, while the volumes were down in the second quarter, it was almost all temporary. We didn’t adjust any kind of structural cost in that business. And it goes to the variable cost of that business. Salesforce is variable. A lot of the costs we can get out quickly, but then when volume comes back, you got to put them back. So I don’t think there’s been any structural adjustment to the cost of the business.
Chris Koch: Other than what Bob would say would be the ongoing COS efficiency gains and raw material purchasing gains and things that we do on a normal basis.
Garik Shmois: Okay. And then just lastly, just on CIT. Just looking at it sequentially, just with the revenue drop of about $15 million from the second quarter to the third quarter, but EBIT was only down about $2 million, so a pretty good sequential profit control. I’m just wondering how to think of that moving into the fourth quarter, not to get too granular, but how should we think about margins in CIT just given the projected revenue drop again in Q4.
Chris Koch: Yes, Garik, we got to remember that there was $3 million less restructuring in Q4 than Q3. So the GAAP dropped, if you factor that and it was bigger than that due to the volume drop through. But also the cost management is coming in, and we expect that to continue and we announced the factory closures and things like that. And those take some time, especially the Washington want to come through. So I mean, again, I don’t think it’s going to change drastically and the normal drop through margins will be there on the decline. And then when it comes back, it’ll come back quickly.
Garik Shmois: Okay. Thanks. And as soon as possible, just to touch on restructuring notes early, but just given the pace of restructuring that you had pulled forward here in 2020, anyway to, to handicap the amount of restructure that we might be looking on 2021?
Chris Koch: Yes. I mean, I’ve been saying for years, it’s probably around $15 million a year, $15 million to $20 million, and we do have that kind of carryover. And as you know, from prior discussions, it is take a long time to close down an aerospace factory because of the approvals of both the FAA and the OEM. So it takes a while to move these things. So that will carry into 2021. So we’d expect to carryover, but somewhere in the $15 million to $20 million range is what we think to that.
Garik Shmois: Okay. Helpful. Thank you very much.
Operator: Your next question comes from the line of Joel Tiss from BMO. Your line is open.
Joel Tiss: You see a little more sort of the tone in your voice sound a little more positive on European TCM. I wonder if we can just take a minute and get a sense of what’s going on there, because everything else we hear from Europe is a little more muted.
Chris Koch: Yes. It’s been surprising. I’ve been in touch with the CFT teams there. And although, they’re a smaller business, our group in Europe has been somewhat positive and what’s happened and maybe that’s a reflection of coming out of the bad Q2 and what was going on there with the people in Italy and their homes and the Spanish impact from COVID was tough. So maybe it’s just – they’re out of that, and restaurants are reopened, things like that, but they were upbeat. And then with CCM, we’ve had good sales, which as I said, the underlying demand there has been really good, which has been a little bit of a surprise, but positive. And then we also have made some leadership changes over there that we think are going to really get us onto more of a track that we’ve been in the United States, where we’re looking at filling in some of the niche markets, filling out the portfolio of products we offer to the market and perhaps getting more active in the acquisition space within Europe. So now I think you’re right to pick that up, all the thanks. We do. And I think we’ve always seen Europe is that frontier that was a little bit untapped for Carlisle. And given some of the initiatives we’ve done on energy savings in green and things like that, we’ve been a little bit like getting to that market, where I really think our message will be well received and I think we can build on the good demand we’ve got going on right now.
Joel Tiss: That’s really good. And then can you talk a little bit about the competitive environment? It sounds like your competitors in CCM are raising prices a little bit and any sense. I know you can never know what everyone else is going to do, but any sense that kind of that environment is going to stay favorable through 2021.
Chris Koch: Well, for sure, for us to see a relatively quick and uniform response to the raw material price increases by all competitors coming out with their price increases really quickly as a group kind of independent, not thinking that it was a reaction to what others were doing, that’s really hardening. And then I do think the pressures on raw materials are going to bolster their resolve to go into 2021, protecting their margins and things like that. And I think that’s understandable, because obviously we’ve got we looked over the resi side and the shingle market is on back order and people are seeing great demand in resi. And I think non-resi when it picks up, is going to be – have some of the same pricing pressures on labor and things like that too. So I think I do have some confidence that we’ll get some good pricing traction going into 2021.
Operator: Your next question comes from the line of David MacGregor from Longbow Research. Your line is open.
David MacGregor: Yes. Thanks. Good afternoon, everyone. Just to go back to it earlier, a couple of questions around just the deferral business from 2020 and to 2021. What’s your best estimate of the 2020 dollar value, volume that’s been pushed out into 2021?
Chris Koch: All right, David. I know this is going to be a cop out. I really don’t have an idea because we were really – I mean, we had a strong 2019, I went into first quarter of or we went into the first quarter of 2020 thinking it might be another record year. And so when you look at how quickly that dropped off and the impact in Q2, I don’t know that I have an estimate for you. I think that when the reroofing side, you can look at Bob’s projections and maybe parse one of that – one of those years out. But maybe let me – just big picture $200 million, $300 million maybe. But I mean that’s a guess.
David MacGregor: Yes. No, that’s helpful though. Thank you. And then I want you to get to talk about, what you’re seeing in distribution right now, in terms of inventory levels and out the door sales patterns?
Chris Koch: Well, we have seats of breeze of hope with – I won’t give specific, but with a few distributors having some confidence to put some inventory back in, we did talk in the second quarter, at the end of the second quarter call about the destocking that had occurred there. So I do think there’s a little bit of demand left there that if we went into 2021 with some confidence, we’d see distribution, maybe in the back in the spring usual stocking season, we’ll go back to normal and that’ll certainly help 2021, but we haven’t seen a lot of stock go back into distribution right now. And I think people are obviously, you’re through most of the heavy season here when you start to get into October. And I don’t know anybody that wants to put a lot of inventory and going into Q4 in the winter months. So again, I think we look through the spring and then look to get back on a more normal schedule and add in that inventory that needs to be there.
Bob Roche: Yes. And as you know, most of our products go from our factories to the roof, even if they’re sold through distribution. So they’re not holding a lot of product for us.
David MacGregor: Okay. And then what can you say about out the door sales patterns right now? What kind of comp growth you’ve seeing there?
Chris Koch: Probably at distribution?
David MacGregor: Yes.
Chris Koch: Yes. I don’t – we don’t really measure that. I mean to be honest with you, we – I suppose, you went and talked to our CCM reps, they would might have some idea of that. But we don’t track that at our level. Apologize.
David MacGregor: It’s okay.
Chris Koch: No, from our perspective, though, we’re focused on the slight growth in September and then our few percent growth in Q4, which is consistent with what the market’s taking so.
Bob Roche: And I think, if you think that there’s no inventory in the channel and sales were up in there, a little bit up in September that implies, then that the pass through and the out the door sales are higher.
David MacGregor: All right. Okay. Thanks very much.
Bob Roche: Yes. You’re welcome.
Operator: There are no further questions at this time. Mr. Chris Koch, I turn the call back over to you for some closing remarks.
Chris Koch: Well, thanks Rob. That concludes our third quarter 2020 earnings call. Again, we really appreciate everyone being on the call and your participation. We thank you for all the questions. We hope everybody stays safe and healthy as a journey through this fourth quarter. And we’ll look forward to speaking with you at our next earnings call. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.